Operator: Good morning everyone and thank you for participating in today's conference call to discuss PFSweb's financial results for the third quarter ending September 30, 2014. Joining us today on PFSweb’s CEO, Mr. Michael Willoughby and the company’s CFO, Mr. Tom Madden. Following their remarks, we’ll open the call for your questions. Before we go further, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call, other than historical facts, are forward-looking statements. The words anticipate, believe, estimate, expect, intend, will, guidance, confidence, target, project and other similar expressions typically are used to identify forward-looking statements. These forward-looking statements are not guarantees of future performance and may involve and are subject to risks, uncertainties and other factors that may affect PFSweb’s business, financial condition and operating results which include, but are not limited to the risk factors and other qualifications contained in PFSweb’s annual report on Form 10-K, quarterly reports on Form 10-Q and other reports filed by PFSweb with the Securities and Exchange Commission to which our attention is directed. Therefore, actual outcomes and results may differ materially from what is expressed or implied by these forward-looking statements. PFSweb expressly disclaims any intent or obligation to update these forward-looking statements. During the call, we may also present certain non-GAAP financial measures, such as EBITDA, adjusted EBITDA, non-GAAP net income, service fee equivalent revenue, merchandise sales and certain ratios that use these measures. In our press release with the financial tables issued earlier today, to which your attention is directed on our website at pfsweb.com, you can find our definition of these non-GAAP financial measures, a reconciliation of these non-GAAP financial measures with the closest GAAP measures and a discussion about why we think these non-GAAP measures are relevant. These financial measures are included for the benefit of investors and should be considered in addition to and not instead of GAAP measures. I would like to remind everyone that this call will be available for replay through November 26, 2014, starting at 2:00 PM Eastern Standard this afternoon. A webcast replay will also be available via the link provided in today’s press release, as well as available on the company’s website at www.pfsweb.com. Any redistribution or retransmission or rebroadcast of this call in any way without the expressed written consent of PFSweb, Inc. is strictly prohibited. Now I would like to turn the call over to the Chief Executive Officer of PFSweb, Mr. Mike Willoughby. Please go ahead, sir.
Michael Willoughby: Thank you Angela and good morning everyone. As you saw before the open of the market today, we issued a press release announcing our results for the third quarter ended September 30, 2014. The third quarter marked a significantly turn for our organization both strategically and financially. We launched three new client programs including Urban Decay, Canada Goose and our highly anticipated omni-channel commerce solution for United States Mint which was formerly unveiled to the public on October 1. We also initiated our acquisition strategy as we enhanced our agency and technology service offerings with the acquisitions of REV Solutions and LiveAreaLabs, both supplement our key partnership with Demandware while broadening our integration capabilities with Oracle ATG, Hybris, Magento, Drupal and others. This quarter also marks our return to year-over-year growth in our ecommerce business now that we’re fully passed last year's client transitions. This is reflected in our strong service fee equivalent revenue growth of 28% and adjusted EBITDA growth of a 107%. We’re also on the verge of another exciting holiday season with clients anticipating strong year-over-year growth and we’re prepared to once again perform at a very high level for our clients as we have worked closely with them during the forecasting process and have enhanced certain operational capabilities to address the higher expected projected volumes. Before commenting further I would like to turn the call over to Tom to discuss our financial results for the third quarter of 2014 and then following Tom's remarks I will return to discuss some additional highlights and provide a business development overview and then open the call for your questions. Tom?
Tom Madden: Thanks, Mike. Good morning everyone. As Mike indicated, I’ll spend some time providing additional insight on the third quarter results reported earlier today, as well as our outlook for the remainder of 2014. And some initial insights into our 2015 guidance. Before doing so, I’d like to remind everyone, especially newcomers to the PFSweb story, that when we provide discussions about our financial results, we often discuss our service fee equivalent revenue performance. This non-GAAP metric is calculated by taking our service fee revenues, which is the primary business activity we perform, and adding the gross profit on our product revenue business so that both businesses can be measured on a similar service fee basis. One other item to note as you review our financial results, as you know we completed the acquisitions of REV Solutions and LiveAreaLabs in September 2014. The REV Solutions business is projected to generate approximately $7 million in revenue during the full calendar year of 2014 and LiveAreaLabs is projected to generate approximately $8 million during that same time. Our PFSweb results for the September quarter and for calendar year 2014 will only reflect the activity of those businesses, since the September 2014 acquisition dates. As such we’re only getting partial year benefit of those entities in our current quarter and 2014 results. With that as a backdrop let's quickly review the third quarter numbers. As Mike, mentioned earlier our third quarter service fee equivalent revenue increased 28% to 32.4 million compared to the prior year driven by new client roll-outs increased project revenue and the partial benefit from the acquisitions. Excluding the acquisitions, our service fee equivalent revenue still grew 24% versus the prior year. Our service fee revenue growth was due to both new client activity and expansion of existing clients. While United States Mint website launch date was delayed slightly from it's recently anticipated date we did generate service fee revenue of more than $3 million from this new client during the September quarter. Applicable to our project work on the website, our soft launch support and activities associated with getting the operations ready for the official October 1 launch. We continue to estimate that this client will generate between $17 million to $20 million per year of annual service fees for us and that the activity will be more evenly spread throughout the year depending on the time of large coin drop programs. Our service fee gross margin in the third quarter of 2014 was 29.9%, this growth margin performance was at the high end of our targeted gross margin range of 25% to 30% and was positively impacted by certain incremental higher margin project activity partially offset by increased distribution center expenses to prepare for the upcoming holiday volume. The prior year gross margin of 32.3% also encoded the benefit of project works. SG&A expenses during the third quarter increased 20% to 12.8 million, compared to the 2013 third quarter. Excluding the impact of stock based compensation, acquisition related cost and restructuring charges however SG&A increased just 3% to 10.4 million on a year-over-year basis. With a contribution from our strong revenue growth and our ongoing focus on cost adjusted EBITDA in the third quarter of 2014 more than doubled to 2.9 million compared to the same quarter in the prior year. Now turning to balance sheet, at September 30, 2014 cash and cash equivalents totaled 19.5 million compared to 22.4 million at December 31, 2013. Total debt was 11.3 million compared to 11.1 million at the end of 2013. As such our net cash to debt position was approximately 8.2 million as of September 30, compared to 11.3 million at December 31, 2013. This decrease was primarily related to the acquisition of the REV and LiveAreaLabs (indiscernible). Our cash balance continues to be aided in part from the timing of certain cash collections received from PFS from our clients customers that are then remitted later to our clients. For our full year 2014 outlook, we’re reiterating our previously announced targets for 2014, service fee equivalent revenue to range between 131 million and 137 million and adjusted EBITDA to range between 12 million and 14 million. Excluding the impact of our client transitions from last year and the acquisitions this year, the 2014 service fee equivalent revenue target reflects an estimated increase in fees generated from our current and projected new clients of more than 20% versus 2013, while our product revenue segment is expected to continue to decline annually by approximately 20%. Given the financial reporting presentation complexities surrounding the contract with our last remaining client in the product revenue segment, we’re in the process of having discussions with this client to evaluate possible modifications and redesign of the contract to allow us to report on a service fee based model and simplify our GAAP financial presentation. For our gross margin guidance, we have historically stated a targeted range of 25% to 30% for our service fee business. Based on our continued growth in the professional services area of our business we have been and expect to continue to be towards the higher end of this range. Though this will continue to be impacted by the split of our BPO versus professional services activities as well as special project work. For our product revenue, we’re expecting a gross margin range between 5% and 6% which is somewhat less than our prior guidance of 6% due to the mix of the products being sold. Our ongoing focus is to drive strong service fee equivalent revenue growth, leverage our existing infrastructure and higher margin services and generate an improved adjusted EBITDA performance both in dollars and as a percentage of service fee equivalent revenue. We currently expect service fee equivalent revenue for 2015 to range between a 165 million and a 175 million which represents a 23% to 30% growth rate over the midpoint of our 2014 service fee equivalent revenue guidance. Our adjusted EBITDA margin was 9% in 2013, is targeted to be in the 10% range for 2014 and we’re targeting for this to continue to improve further to a range of between 10% and 11% in 2015. The 2015 targets include the current estimated impact of incremental investments in our sales and marketing efforts that Mike will discuss later on the call. Also please note that we continue to expect that our 2015 results will be strongest in the latter part of the year as it will incorporate the strong seasonal activity of most of our B2C clients as well as anticipated new client additions. Now I will turn the call back over to Mike for some further comments on the recently completed quarter as well as an overview of business developments and closing remarks. Mike?
Michael Willoughby: As I mentioned in my opening remarks we’re very pleased with the results of the third quarter which benefited from organic client growth as well as the new acquisitions and from new client launches. In addition to the new client launches we mentioned in our press release, we wrapped up several large pre-holiday projects for current clients. I referenced several of these on the last call including the discreet projects for BCBG, Procter & Gamble and Roots. The service fee revenues from these and other clients contributed to our strong performance in the third quarter. We continue to have success expanding current client relationships and as a case in point we recently launched a new ecommerce program in support of a new initiative for an existing major health and beauty client. This unique new program enables salon professionals to promote branded products through their ecommerce site to their loyal customers in exchange for partnership benefits. We continue to support this long standing client as they leverage our infrastructure and operations for many of their branded ecommerce programs. We’re very clearly excited about the recent launch of the program for the United States Mint and the subsequent performance during the release of the 2014, 50th anniversary Kennedy Half Dollar Silver Coin Collection. As indicated in our press release yesterday, we experienced record traffic and order values through the new site. And I'm happy to report that the site performed as designed. Since completing our two acquisitions in September we have been focused on merging our sales and marketing effort with REV and LiveAreaLabs. Last month we were able to incorporate new messaging and have all three companies participating at shop.org, one of the premier ecommerce trade shows in the country. We will continue to focus on updating sales messaging and brand positioning as we highlight the value of these acquisitions and our global omni-channel solution. With regard to expanded opportunities from REV and LiveAreaLabs we have already experienced additional sales activity that combines our unique services from REV, LiveAreaLabs and PFSweb essentially joining forces on several potential engagements. Specifically we have secured three new contracts to provide ecommerce design and development services with one of those representing a joint sale before LiveAreaLabs and REV. We continue to see traction as we build out our new sales model and we hope to announce the names of these great brands after their new sites go live. As I mentioned on our previous call and as Tom just indicated, we intend to increase the level of investment in sales and marketing as we take advantage of our new capabilities and respond to the opportunities in our global marketplace. Specifically we’re expanding our presence in Western Europe this year with a dedicated sales team in the large commerce markets of the UK and Germany. This is in addition to our current coverage of the French market from our base in Belgium. We expect to continue this increase in investment, in sales and marketing, into 2015 with an expected increase in sales headcount including additional senior sales leadership. We now have a total of 79 client programs live around the world with 32 of those operating as end to end programs, as we continue to integrate the three companies we will begin providing a more comprehensive outlook of all combined programs and ongoing projects live around the world. Look for these changes to begin with our next earnings call in Q1, 2015. Looking ahead, we expect our momentum from the first part of 2014 to carry into the holiday season and then into 2015 driven by continued execution internally and our growth through acquisition strategy to support additional platforms and additional geographies across the globe. Coupled with a strong foundation of our current client portfolio, and new business pipeline we’re positioned to further strengthen our financial performance in 2015. Now with those prepared comments, Tom and I would like to open up the call for question and answer session. Angela?
Operator: (Operator Instructions). And we will take our first question from George Sutton with Craig-Hallum . Please proceed.
Jason Kreyer - Craig-Hallum Capital Group: This is Jason for George. So I understand that you’re just a couple of months into these acquisitions and you gave some color on prepared remarks about some of the opportunities that you’re seeing and just wondering if you can talk a little bit more about the pipeline. If these opportunities are related to the additional platforms that you now have the capability of utilizing and then if there is any additional opportunities to pursue some of the leads from Transcosmos now that you’ve additional platforms to work with?
Michael Willoughby: So as far as the opportunities that we’re seeing from our new combined presence in the marketplace, I think that we’re seeing particularly with LiveAreaLabs, the continued opportunity to work on multiple platforms. I believe at least one of the engagements that they have design and technology R&D type activities for a non-Demandware client. I would say that the pipeline of opportunities for project continues to be very focused on Demandware considering both REV and LiveAreaLabs had a high degree of demand we’re focusing and their practice coming in so we’re still very much playing towards our strength there. I also think that give the rapid integration of these two companies into our sales and marketing effort that are positioned, cooperating and working with Demandware has been strengthened and so we expect as we have seen over the past month or so to continue to see more lead activity coming out of our partnership with Demandware. We also certainly have an agenda as I indicated before with the announcement of the acquisitions to continue to work on platform diversity and as such we’ve started to process and more actively working with Oracle ATG through the relationship with REV to explore opportunities there and I expect we will have a lot more say about that when we get back together for the Q4 conference call in March. But so far it looks quite positive for us as far as broadening our target market, as we indicated before we expect lot of the activity coming out of REV and LiveAreaLabs to be project oriented work with creative strategy design type activities and then the website development activities. We look to be increasing the support engagements that we have coming out of those and what we call a land and expand strategy around our sales and marketing effort. And as far as the Transcosmos opportunity, I would say that it's a little early to say what kind of impact that it will have. We certainly are as I have indicated before excited to be able to go back Transcosmos with and offering that is more suited to the low to mid-market kind of opportunities that we initially saw coming out of that pipeline. So, once again I probably will have a little bit more say about that early next year but I do think there is an opportunity to reinvigorate that opportunity.
Jason Kreyer - Craig-Hallum Capital Group: Okay and then switching gears on TJX, they continued to add additional categories and capabilities on their ecommerce channel and I'm wondering if you’ve any updates on potentially adding additional brands to their ecommerce strategy?
Michael Willoughby: I do not have any new information on that other than what they had indicated in their conference call a couple of months that it was definitely on the roadmap, that they intended to leverage the ecommerce solution for new brands but we still don’t really have a timeline and I wouldn’t have expected necessarily to get a timeline update between that last call and now with the holiday preparation going on. I think everybody is focused on having the appropriate inventory position for their strategy coming up for the holiday that certainly includes TJX. We would hope that as we get together with them after the first of the year to take a look at the results from the holiday and to do our strategic planning for 2015 and beyond that we might get some insight into the timeline but we’re certainly here in a position of simply waiting for them to make those decisions and communicate that to us.
Jason Kreyer - Craig-Hallum Capital Group: Last one for me, so you’ve made a couple of acquisitions this quarter as you look at the current portfolio of solutions that you’ve. Can you just talk about additional areas that you could potentially pursue for M&A?
Tom Madden: Sure. So our focus at this point for 2015 turns to essentially accomplishing some of the same objectives in Europe that we accomplished in the U.S. with the acquisition of REV and LiveAreaLabs. As we had indicated before neither of those two acquisitions brought any particular capabilities in Western Europe although we feel like we can leverage the Indian development capabilities that came with our REV acquisition to support additional website development activities sold and delivered in Europe. Neither company brought a local presence in Europe from a sales and marketing or solutions, engineering or design perspective. So, what we will looking for in 2015 is probably a similar type of acquisition in Western Europe where we have picked up one or more agencies like LiveAreaLabs that we can fold into our digital agency practice and potentially one or more system integrators similar to REV Solutions. We would hope that one of the system integrators would be working on an additional platform besides the Demandware, an ATG platforms that we support today with our system integrator practice. We would consider that kind of a buy one get two type of a proposition where we get both the presence and bandwidth in Europe as well as the additional platform practice. So if we’re able to do that then we would announce along with the acquisition, the further expansion through the acquisition of other platform such as Hybris, or Magento platform at that time. So Europe will be the focus at least in the first part of 2015. We certainly already started that process and have opportunities identified in conversations going, so that’s kind of the focus at this point Jason.
Operator: (Operator Instructions). And we will take our next question from Mark Argento with Lake Street Capital Markets.
Mark Argento - Lake Street Capital Markets: Couple of questions, let's start with your SG&A I know it was a little bit higher than where we have been seeing it running. I'm assuming there was some detail related expenses in the quarter?
Tom Madden: That’s correct. There was about $1.3 million of acquisition related cost that we had in the quarter.
Mark Argento - Lake Street Capital Markets: And then the -- so that kind of gets you back down to that 11 million -- 11.5 million level. When you think about some of the increased -- sales and marketing initiatives in particular in Europe, what kind of SG&A run-rate would you see going forward? Obviously it's going to tick up a little bit.
Tom Madden: We’re still working through that, I would expect as we pull it all together from both the U.S. and European standpoint that it might be an incremental $1.5 million to $2 million or so.
Mark Argento - Lake Street Capital Markets: Is that quarterly or annually?
Tom Madden: No, annually.
Mark Argento - Lake Street Capital Markets: And then turning to the customer mix, I think Mike you had mentioned you had 32 end to end customers at the end of the quarter, what was that up from last quarter if you have that in hand for us?
Michael Willoughby: I think it was 30 last quarter.
Tom Madden: Yes I think it was 30 as well. We would have been talking about I think 77 client programs last quarter, and I think we said 30 of those were end to end. So, we have since then had an increase of three client programs two of which were end to end and then we transitioned one client out. So that gets you to the net of 79.
Michael Willoughby: And the two new end to end ones for [ph] and one we have announced which is the U.S. Mint as well as Canada Goose.
Mark Argento - Lake Street Capital Markets: And then when you think about the guidance for '15 that you put out, how should we think about just suppose to the revenue and EBITDA guidance, what type of growth do we need to see in some of these metrics in terms of client programs and/or end to end? Is it going to be -- should we kind of map over the midpoint of the revenue growth guidance and think about that type of growth rate for new customers or did you deeper into your existing customers, maybe help us kind of think about, Mike, what you think about the complexion of the growth, how it's going to look, new versus existing?
Michael Willoughby: Sure, I will kind of respond to the qualitative part of that question and then Tom may have some input on the quantitative. So looking into next year, we would expect to see a pipeline that it has an increasing number of what looks like projects whether that’s designed and strategy projects with our digital agency or website development deployment projects and these will be I think lucrative projects for us as we look at the pattern that is there with both REV and LiveAreaLabs and quite profitable. So the margin expectations in those projects in that area of the business are at the high end of kind of the range we have discussed so we would expect them to be 40 to 50 plus margin projects. And then we would expect -- several of those projects are or certain percentage of those projects would then turn into longer term opportunities around support contracts, marketing services engagements and even end to end engagements as we land and expand like we were able to do with Canada Goose where that engagement start out as a website build project and then turn end to end as we were able to present our additional capabilities and so what that’s going to require us to do I think going into the next year is to come up with a different way to talk about our pipeline and our bookings and what percentage of the growth that we’re experiencing is going to come from these projects that then could expand versus end to end opportunities that we know upfront have a five year contract with the recurring revenues that we’re used to seeing end to end compared to the organic growth that we would continue to see from our current clients. With regard to organic growth, I think that we’re expecting to continue to see the same trend we have seen over the past couple of years of mid-teens to 20% growth rate within the client relationships themselves. At this point if you look at kind of what we have guided towards 2015, it's pretty consistent with that 20% or so overall growth rate in revenue which a portion of that comes from organic growth of current clients obviously have a full year of the U.S. Mint contributing to that level but there is a decent amount of what we would see incremental project work compared to what we saw in 2014, coming out of these new acquisitions and so we will have a lot of work to do over the next three months as we get ready to try to present a more precise or clear view of all of that which our March conference call. But that’s one of the task that we have going into the call as to really try to give some transparency into how all that breaks out.
Mark Argento - Lake Street Capital Markets: And then in terms of kind of same client growth in the quarter, I know the comps have gotten a little cleaner here, so I assume the same kind of client growth or same store growth as fairly similar to what you reported in terms of total service fee growth in the quarter, Tom is that accurate? If so, should we think that same client growth was like mid-20s for the quarter?
Tom Madden: If you take a look at our business, as we evaluate the growth merchandize value of our direct to consumer clients, B2C clients they grew at a rate of just over 20% on a quarter-over-quarter basis. Usually that translates into somewhat lower fee increase for us because there are certain fixed components of our billing structure. So you might anticipate from those direct to consumer activities that we get somewhere in the mid-teens increase year-over-year and then with -- we also had the benefit of the U.S. Mint contact coming on-board, we had the positive impact of the acquisition related activities. So kind of a combination of all those three really came into play as we look at the results. So in recognize we do have some B2C clients that are included in our mix, it's not a large percentage but that business activity stays relatively flat on a year-over-year basis maybe it's definitely, to the extend it is growing, it's growing generally it's growing generally at a slower pace than what our B2C clients are growing at. So we do have good growth from an existing client base but the -- obviously the U.S. Mint and the acquisitions also fueled higher performance overall.
Mark Argento - Lake Street Capital Markets: And then two more quick ones for me, in terms of any near term client renewals that we should be aware of? Anybody coming up on the end of their contracts? How is your contract bookings or backlog look?
Michael Willoughby: So I think that -- we’ve indicated in the past that we would expect on average 20% or so of our client contracts to come for renewal any given year just by the nature of the fact that we have these 3 to 5 year contract terms with the U.S. Mint being an obvious exception to that rule. So I think it's probably true that next year we would expect to see 20% of our contracts come up for renewal. At this point we feel very confident that to the extent that we’re performing well for our client that they would tend to renewal their contracts and so it brings us back to the importance of the upcoming holiday with all of the excitement that comes along with that, so you just perform as we’re prepared to do for all of our clients and then go into the 2015 with strong relationships and higher percent referenceability and given that kind of performance we would expect as we’ve seen historically to have a high renewal rate. There could be like we experienced this year couple of small clients, they are under performing that we would want to proactively churn. Let's say that we would expect to see that connectivity as normal in any given year and then our guidance that we have put out includes an allowance for churn, we typically would model 3% to 5% of our top line churning each year and while we don’t necessarily have a name to go with that allocation for allowance we have included that potential in our guidance. So that seems like a reasonable outlook from where we see it today.
Mark Argento - Lake Street Capital Markets: Last one is just quick one for me, in terms of your product revenue client per customer seems like that business continues to be in decline at a point now where it's relatively immaterial or quickly becoming immaterial to the P&L although it still skews the GAAP, top line revenue growth rates. I know you have talked about renegotiating that. Your expectation that you will get something done either get it renegotiated so the accounting fits or you will exit that by the end of this year?
Michael Willoughby : So I guess first of all the client relationship is still a very important client relationship for us and it has been and continues to be while the business has declined over the last few years, it's still an important part of our business. We’re in the process as I indicated in my comments that of trying to restructure and modify the contractual terms to allow us to report this on a more of a net sales type approach or net revenue basis, service fee equivalent activity basis to clean up the financial presentation of this. We’re hopeful that we will be able to work with them to accomplish that. I'm not sure exactly what the timing will be on that and just a little bit additional insight, I mean there is really two product categories that we cover for this client in this category, one of those product lines is the majority of it and that activity level continues to be relatively flat. The other piece of the business is the one that has a declining revenue stream associated with it. So as we look to the future we still see a key value add that we provide to the clients and to strong client relationship it does contribute to our overall adjusted EBITDA performance in total and as we have mentioned several times we’re hopeful that we will be able to work with the clients either in the short term or within the next year of being able to drive toward a service fee type recognition on the contractual terms.
Mark Argento - Lake Street Capital Markets: I think your multiple obviously expand if you’re able to present the true top line GAAP growth revenue growth rates that you guys are really achieving. So I know -- $3 million - $4 million worth of gross profit that you get to recognize from the relationship and I know nobody likes to walk away from relationships but obviously I'm not telling anything here you don’t already know but I think it's getting to the point now where hopefully you can get something done.
Michael Willoughby: We certainly hear the point on the valuation and I'm optimistic now that we have the discussions going in (indiscernible) and we’re engaged with them around the concept that we will be able to get something done. We certainly realize the benefit that we can achieve and have heard the feedback loud and clear so it's a top priority for Tom to progress those conversations and try to get something done as quickly as we can.
Operator: And we will take our next question from Scott Tilghman with B. Riley & Co.
Scott Tilghman - B. Riley & Co: First I wanted to follow-up on Mark's questions and specifically around the potential for renegotiation of that contract. Would you see any balance sheet benefits from that?
Tom Madden: It depends on how it gets restructured. There is a potential ability where we might just modify certain terms of the contract such that we might still take title to the inventory and have the receivable risk associated with it but have certain modifications to our inventory return privileges or whatever in order to allow us to report this on a net margin basis from a P&L standpoint but still have the items on our balance sheet. So it may not get much pickup on the balance sheet side, we may still have some of the inventory receivables on our risk and the working capital requirements associated within our books. It depends on what types of modifications are made.
Scott Tilghman - B. Riley & Co: Second, one the U.S. Mint, you’ve quantified the impact of the contract, recognizing that that business for them is somewhat lumpy based on product launches. Can you give us a sense as to what your seasonality will look like with that contract whether it's fairly straight line over the four quarters or if it still has a season or holiday bump?
Michael Willoughby: So we would expect that the business is fairly evenly spread across four quarters in a given calendar year and what could affect quarter-to-quarter is the timing of the coin drops that you mentioned to the extent that they have two in one quarter and four in the next that just is a factor of a week here or there in the timeline that obviously could impact results from one quarter to the next. But over the course of the year we think it will be pretty evenly spread out which obviously is a good thing for us, it would tend to offset some of the seasonality we have other direct to consumer clients and help us to allocate resources more effectively. I don’t think we would expect that to change, we also have visibility into an upcoming year quite a bit in advance as they set the calendar for the coming year. The end of the previous or early in that year. So we would have visibility to exactly when those coin drops would and be able to build appropriately expectation for the quarter.
Scott Tilghman - B. Riley & Co: On the investments in Europe, 1.5 million to 2 million that you called earlier. I assume that’s the organic number and any acquisition activity would be then layered in once it was completed is that accurate?
Tom Madden: Yes that’s correct.
Scott Tilghman - B. Riley & Co: On a related note, are there any domestic needs at this point? Do you see accelerating any spending here in the states to build out any capabilities or to expand sales and marketing or is this really largely a European emphasis besides from what we would see typical year-on-year growth and tied to the revenue growth in the U.S.
Michael Willoughby: Sure. So the acquisition opportunities that we’re pursuing right now tend to be in Europe where we’re wanting to add some similar capabilities there, that’s what we did with LiveAreaLabs and REV. As far as the increase in sales and marketing investment that Tom referred to and was I guess telling Jason that we expect that to be $1.5 million to $2 million of incremental SG&A spending next year. That’s probably primarily in the U.S. We’ve increased our investment in Europe as we had indicated during the year with some dedicated presence in the UK and in Germany, so we will have a full year of those kind of investments next year based on what we have done already here but I think the incremental headcount that we’re looking to add and the sales leadership that we’re looking to bring on. The sales leadership would have a global focus but I think the biggest opportunity to accelerate growth is to take advantage of these new capabilities particularly as we expand platforms and add those to our end to end offering and increase growth here in the U.S. So I would say most of that increase in spending is going to be focused on accelerating growth here in the U.S.
Scott Tilghman - B. Riley & Co: Okay. And then related to that, clearly you’ve a much more focused local competitor, historically you’ve operated on different platforms, as you evaluate some of the new business opportunities with perspective clients and also look at the recent acquisitions, do you see any potential impact from what they are doing or is it really still sort of status quo for you?
Michael Willoughby: Well I think that there is some potential overlay between our two go to market strategies but I think there also is lot of adjacency as well. So we have historically and we will continue to focus primarily on brands and brand manufacturers particularly high-end brands that have high-end expectation and from what I can see from what they are doing they have a focus on retail clients particularly small to mid-market retail clients and I think the investment that they are making in the REV which is targeted at on-boarding a small retail or mid-sized retail client quickly, it would sort of indicate that where they are going to focus. So that’s a different part of the market than we’re focused on. So I would expect we probably would continue to not see each other a lot but I think when we do overlap we’re pretty confident in our value proposition and what differentiates us and I would say that for the next year or so if we see each other in a lot of deals, one of us might be in a wrong deal. I think it will be tough for them to compete in the large enterprise complicated deals like U.S. Mint that require a lot of investment in technology and customization around technology and where the customer experience, expectations are so like they are with the lot of brands that we’re supporting. And we don’t have an agenda to onboard a lot of small to mid-sized mass merger [ph] retailers either. So I think there is a lot of room for both us to be successful and to continue to progress our own value propositions.
Scott Tilghman - B. Riley & Co: And my last question for you really ties back into the platform discussion, obviously you’ve had one historically, you’ve expanded capabilities over the last couple of years and even with the recent acquisitions. As you look at the different geographies are there differences in platform preferences by client or are they pretty similar from the U.S. to Europe for instance?
Michael Willoughby: I would answer that question in two ways, first, we see the market being bifurcated along two lines. One is, is there a preference for cloud based alternative versus a non-premise license alternative and if there is a preference for cloud based and demand where it continues to be in my opinion only real enterprise class cloud based alternative out there from an ecommerce perspective. And so I think that would be true in Western Europe as well as in the U.S. or frankly Asia Pacific or any other geography. If you’ve high growth expectations and want to operate an enterprise class platform and you prefer cloud based, Demandware is the choice. With regard to the on premise option, I think you definitely have stronger providers in U.S. compared to Europe, it's a different mix, we certainly see Hybris very active in the Europe market which makes sense given their heritage in Germany and their ownership SAP. But I would also say we also see them being very active in the U.S. market as well compared to the traditional leaders of IBM and Oracle. So our view would be overtime to support all of the major platforms and be able to interact to the market references regardless of how they shift. That being said we will continue to have a very strong relationship with Demandware, because of the heritage we have with them and also just the fact that that right now they are virtually unopposed in the cloud based side of it.
Operator: At this time this concludes our question and answer session. I would now like to turn the call back to Mr. Willoughby for closing remarks.
Michael Willoughby: Thank you, Angela. Once again I would like to thank everyone that attended the call today. I think it goes without saying that we’re incredibly excited with the positive developments in our business. We’re excited to have on-boarded the U.S. Mint and now be able to talk about that as a current client and we look forward to another successful holiday season where we perform at a very high levels for our clients and look forward to talking to you again about those holiday results in 2015, we get back together in March. Thank you and good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.